Mark Dehring: Ladies and gentlemen, good morning and welcome to CSL's Full Year Results Call for Fiscal 2020. It's Mark Dehring speaking. And joining me on the line is Paul Perreault, CSL's Chief Executive Officer, and David Lamont CSL's Chief Financial Officer. As with past practice, Paul will be providing an overview of the results and operations, and David will provide some additional detail on the financials. We'll then move over into Q&A. [Operator Instructions] Please note this briefing is being webcast. And lastly, before we start I draw your attention to the forward statement disclaimer contained in the slide deck. I'll now pass you over to Paul Perreault. Paul?
Paul Perreault: Thank you, Mark. Good morning everyone and thank you for joining us today to review CSL's full year results for 2020. First, I will take you through an overview of the results and the highlights and then I'll hand over to David, who will provide more detail on the financials, I'll conclude the presentation with an update on the outlook for '21. We would be, as Mark said, happy to take your questions at the end. And just before I go into the results, I'd like to take this opportunity to reflect on really the devastating impact of COVID-19 across the globe. As the pandemic continues to spread, all of us are experiencing the impact both at work and at home. And without question, our daily life and our daily routines and those of our loved ones have been altered and we're all adjusting rapidly. And whilst the pandemic is still an evolving situation, I want to assure you that the health and safety of our employees, patients and donors remain our top priority at CSL. As a business, we understand the need to be agile and adapt to the evolving environment to this COVID. And I have to say that the CSL employees have responded to that call. They have been agile, resilient and really focused on making sure that we continue to deliver on our promise to patients. So, as I move into fiscal year '20, I am pleased to report that CSL has delivered another strong year. Revenue was up 9% at constant currency and the profit after tax was up 17% at constant currency. This is an excellent result given our performance was so strong in the previous financial year. And I believe that this result is a reflection of our focus on the strategy, the execution and delivering on the promise to provide innovative medicines to patients around the world and to protect public health. And now more than ever our patients and at-risk populations need a continuous reliable supply of medicines and we will continue to work to support them in every way we can. So some of the highlights include, our largest franchise in immunoglobulin which has performed exceptionally well as PRIVIGEN up 20% and Hizentra up 34%. This is really a testament to our ability to consistently deliver our therapies to meet the growing demand across the globe. The successful evolution of our hemophilia portfolio continues on track with the IDELVION up 25% and AFSTYLA sales up 21%. We transitioned to our own distribution model in China which you are all well aware of and Seqirus delivered on its product differentiation strategy with strong profit growth driven by influenza sales, which were up 21%. Moving on to Slide 4. CSL Behring recorded overall sales growth of 8% for fiscal year '20 at constant currency. Immunoglobulins was a standout, up 22%, Albumin was down due to the change in our distribution model in China, which was in line with the guidance which we gave you at the beginning of the last fiscal year. I'll go into more detail on each of these shortly. In terms of the geographic split, the pie chart on the right shows the broad global reach of CSL Behring's activities with our two key markets in North America and Europe. All regions recorded strong double-digit growth, the exception being Asia-Pac, which was impacted by the change in our distribution model. Immunoglobulins on Slide 5 now. Our IG portfolio continues as the standout performer and our largest franchise was just over USD4 billion in revenue. Despite the challenges associated with COVID-19, demand remains extremely strong. And we have achieved above market growth for our IG portfolio. Privigen and Hizentra grew 20% and 34% respectively. Contributing factors which are driving demand include increased usage for chronic conditions such as primary immune deficiency, the success of our CIDP indications for Privigen and Hizentra and the expanding utilization of IG for the treatment of secondary immune deficiency. SID growth is primarily driven by expanding the immune modulator use in hematological cancer patients. The fastest growing area of the IG market is a subcutaneous segment, which has outpaced IVIG in the market in terms of year-over-year growth. Hizentra continues to build its leadership position, capturing more than 60% of all cutaneous patient starts. This is further accelerated with Hizentra being the only SubQ product with a CIDP label after being granted orphan exclusivity for this indication in the United States. So as we move and think about Hizentra's uniqueness, it allows the patients the convenience of self-administration to treat both PID and CIDP in the home setting. It also assist patients to better control their disease state within the current lockdown measures. We are seeing early signs of COVID driving increased usage of Hizentra given the benefits of home administration . Now on Slide 6 and albumin. Albumin sales grew in all of our key markets with the exception of China where we transitioned to our own distribution model as was flagged earlier. We achieved what we classify as Intercontinental emerging markets volume growth of 28% with 24% growth in Europe. In North America, volume and demand was robust with a 6% growth. The transition to the new distribution model in China is now complete and I'm proud to say there is no impact on the supply to patients. Our albumin sales decrease was in line with our guidance, albeit, the underlying demand in the market continues to be robust. The new distribution model class of CSL is a Tier 1 distributor, which provides for an improved participation and the value and the supply chain and the ability to work directly with clinicians and hospitals. During the fiscal year of 2020, we received Chinese regulatory approval for AlbuRx, manufactured at Kankakee. This will increase our capacity to service the China market. Moving to Slide 7 and hemophilia. Our hemophilia portfolio has continued to evolve with strong growth and the recombinant hemophilia products, which saw total sales up 8%. IDELVION performed exceptionally well, sales were up 25% with strong growth profiles in U.S., Switzerland and Japan. IDELVION has unique features and benefits relative to the existing therapies that include high factor levels 14-day dosing and now 21-day dosing in the EU, Switzerland and Japan. It really is a transformational product and it has become the standard of care for hemophilia B patients. Many patients are switching to IDELVION from other recombinant products and plasma-derived products whilst also converting from on-demand therapy to prophylaxis therapy. The hemophilia A market is extremely competitive. You're all familiar with that market. AFSTYLA however achieved a 21% sales growth with patient switching and the execution retention strategies that our sales force has been delivering. Looking forward, we expect to launch in new markets over the next 12 to 18 months. Our plasma-derived coag portfolio has several moving parts. And whilst plasma-derived coag portfolio declined 3% overall, we did see some modest growth in our von Willebrand sales with Humate/Haemate. Plasma-derived Factor VIII however is under pressure as new products come into what is a very competitive market. Our Factor IX product MONONINE is also seeing some competition, but from our own product IDELVION. So we are seeing some cannibalization occurring in the plasma-derived segment from MONONINE. On to Slide 8 and Specialty Products. Overall, specialty products sales grew 10%, peri-operative bleeding was also up 10%, primarily driven by strong demand in KCENTRA and our fibrinogen concentrate products used for the treatment of acute bleeding. KCENTRA remains a solid performer. KCENTRA continues to penetrate further into the existing large hospitals and expanded into other regional accounts. And whilst there has been speculation surrounding the impact of COVID on the use of some pharmaceutical products, to date, we really haven't seen this. KCENTRA is recognized as the gold standard for warfarin reversal with its product profile of small volume fast infusion. This appeals to practitioners in stopping or preventing bleeds. The other specialty products category grew 9% with HAEGARDA and BERINERT driving sales, moderated by a decline in our wound healing portfolio. In the U.S., HAEGARDA continues to play a significant role in the prophylactic treatment of hereditary angioedema. Despite new competition, our patient numbers continue to grow. Moving forward, we expect to see expanded use of HAEGARDA given its strong clinical profile and significantly reducing attacks and breakthrough edema. There are no longer any supply constraints as of June 2020 after we increased capacity over the last year. In the U.S., the team worked closely with healthcare providers to ensure any patient initiating HAEGARDA would maintain an uninterrupted supply of product with no cases of patients having to stop therapy since launch. BERINERT growth was largely driven by demand in Canada. And I'd like to note here that we anticipate the Canadian blood services will list HAEGARDA in the first half of '21. So we expect patient switches to HAEGARDA from BERINERT when it becomes available. ZEMAIRA has seen strong growth of 20% after the supply issues we encountered in fiscal year '19 was addressed. Moving to Slide 9, we talk a little bit about the plasma collections. At CSL, we operate one of the world's largest and most efficient plasma collection networks. In fiscal year '20, we opened another 40 centers in the U.S., with U.S. centers now totaling 261 as of June 2020. We have 8 centers in Germany, 3 in Hungary and 5 in China, giving us grand total of 277 collection centers across the globe. As well as opening new centers, we continually look at ways to do things better and more efficiently through our network. If we move to the next slide and we talk a little bit about the COVID impact on collections. Before COVID, the supply/demand status for immunoglobulins was already tight with plasma collection being the critical element of that dynamic and why we were expanding our centers rapidly. Now the pandemic has only further added to the tightness in the market. Collection of normal sourced plasma, the raw material for many of our therapies has been challenging during the pandemic, at time of volatility and uncertainty. Unlike the industry, we felt the adversed impact on collections experiencing a 5% reduction in collected plasma volumes in fiscal year '20 when compared to fiscal year '19. In addition, the cost of collecting plasma has been under pressure by a number of factors, primarily increased hygiene procedures. So when you think about the number of masks, when you think about the cleaning efforts that we're going through the social distancing, separating beds within the plasma centers, these hygiene procedures are costing additional money, additional marketing efforts as individual areas have different COVID restrictions and really trying to get people back up and get those lapsed donors back into the center. And support payments to our frontline plasma collection staff who have been brilliant and really ensuring that we're continuing as a critical infrastructure to keep those plasma collection centers open. I did note at our April briefing that we were listed as a critical infrastructure company, and so are our manufacturing sites. Currently, our network of centers are fully operational, despite all the challenges that we're facing. To mitigate against the pandemic, we have implemented a wide range of initiatives to protect staff and donors as well as optimize plasma collections. As I said that, we have included a number of things including stringent protocols that require temperature checks further questionnaires, further expanded hygiene measures, and as I said, the social distancing. We're able to provide our staff and donors and key vendors with a letter of safe passage so that if there are restrictions in terms of getting out, they have a safe passage letter which allow them to get to the donation center. The FDA has reduced the inventory hold from 60 to 45 days, meaning the industry is able to release plasma earlier in the cycle. The historical investment we've made in our manufacturing capabilities and collections network has meant we've been able to build a modest reservoir finished product, which we've been able to call on and we have increased our advertising and promotional programs to encourage new donors to come into our centers and donate. Recently, the industry representative body PPTA voiced their concern with the difficulties manufacturers are facing in the quarter on plasma. In particular, they're working to remove regulatory barriers to enhance the ability to collect plasma. We support the approach that the PPTA is undertaking. In summary, the challenges will continue, but we have many initiatives underway to mitigate the risk. Once the situation subsides, we believe there will be an opportunity to accelerate plasma collections. Moving on to Slide 11 and Seqirus. When we founded this business in 2015, we outlined the strategy of how we intend to turn a loss-making business around and set some long-term financial goals. I know none of you ever doubted we will get there. We did target USD1 billion in revenue with an accompanying EBIT margin of 20%. These objectives were largely underpinned by manufacturing efficiencies, a suite of - in a suite of differentiated products that we expected to continue to develop and to expand by fiscal year '20. I'm really pleased to announce that the Seqirus' team has exceeded these goals, they performed exceptionally well with yet another impressive year. This year Seqirus reported revenue in excess of USD1.3 billion, which is 11% revenue growth on EBIT of over USD260 million with a 20% margin. This reflects a 74% increase on fiscal year '19. Breaking it down further, seasonal influenza vaccines grew 21% with the continued shift towards the higher value and differentiated products like our Quadrivalent, FLUCELVAX and FLUAD, the adjuvanted vaccine aimed at the elderly market. Whilst the U.S. is our major market accounting for 62% of total revenue, there has been strong growth in other key geographic markets with government seeking to secure manufacturing capacity to protect their populations against influenza in the midst of the COVID pandemic. Pandemic sales continue to perform well with reservation fees up 11% largely attributable to new contracts in Europe and Canada. Moving on to some of the operating highlights within Seqirus on Slide 12. These include the ongoing shift in the portfolio to the differentiated products, as I just mentioned, which continues to gain traction across the markets. Product supply plans for the upcoming northern hemisphere season remain on track and we have increased manufacturing, to the extent possible, given the timing of increased demand within this year's production cycle. Critical operations have been maintained despite the pandemic and we're extending our normal manufacturing campaign timeframe enabling additional doses to be delivered through November and December. You may remember at the half I made reference to a growing body if we are world evidence that demonstrates the enhanced effectiveness for both FLUCELVAX and FLUAD. This continues to be the case. This real world evidence does drive volume uptake and inclusion in national immunization programs. This leaves us well placed to be in a position to supply up to 60 million doses in the United States. COVID-19 has created a significant surge in demand for influenza vaccines, governments and the like around the world look to vaccinate their populations against the flu. I would say that they're worried of course that the hospitals to get overrun with both COVID and influenza which would not be a good position for the healthcare systems. Looking forward, good progress has been made on the expansion projects currently underway at the Liverpool site and the Holly Springs facility. These types of projects, had never been more critical as they are now. I'm pleased to report that the projects are progressing well with Liverpool expected to be operational by Northern Hemisphere in '21/'22, and Holly Springs operational Northern Hemisphere '22/'23. On Slide 13 finishing up on Seqirus, FLUCELVAX, FLUCELVAX our cell-based vaccine produced out of Holly Springs. All streams are now manufactured using cell specific seed and FLUCELVAX was launched in the EU. And we obtain the approval for expanded pediatric use in the U.S. and Europe which will commence in '21. In terms of FLUAD, we retained the preferred recommendation for the 65 and older market in both the U.K. and Australia and recent launch of the 65+ QIV in Australia with approvals in the U.S., EU and U.K. AFLURIA, we continue to expand our geographic reach with the approval to launch our QIV AFLURIA product in Argentina and Germany. I'll move now to R&D and the highlights on Slide 14. Before we start, I'd like to take the opportunity to announce that our annual R&D Day briefing for 2020 will take place in late October. Naturally, this will be a virtual event. Mark will be in touch soon with you on the details of this event. Look forward to having you all there. Innovation is a hallmark of CSL strategy and during the past 12 months, we've been extremely active in undertaking a range of research and development initiatives to bolster and deepen our pipeline, underpinning the company's future growth. There is an abundance of milestones to discuss. But in the interest of time, I'll only take a few of the highlights of the slides. Beginning with immunology, in June we announced positive results for the Phase 2 trial for Garadacimab. The data release show that the study met its primary endpoint, demonstrating reduced number of attacks compared to placebo in patients with hereditary angioedema. The study also show that Garadacimab was well tolerated. And in the 200 milligram cohort showed a 99% reduction in attacks. Further, the FDA has granted orphan drug status to Garadacimab for the prevention of bradykinin-mediated angioedema, which includes both hereditary and non-hereditary angioedema. In hematology, we recently announced the decision to acquire the late stage gene therapy candidate for the treatment of hemophilia B from uniQure. This acquisition gives CSL the exclusive global rights to commercialize an adeno-associated virus gene therapy program AMT-061 or EtranaDez. The program is currently in Phase 3 and could be one of the first gene therapies to provide long-term benefits to patients with heme B and a potential launch in 2022. We've been working with the hemophilia community for more than three decades, and we are so excited about bringing the benefits of this therapy to patients. In cardiovascular metabolic, CSL112, I know that I had mentioned at the half year that we would give you an update at full year results with the futility analysis. And although some of you may have thought that the trial might not have had the futility analysis because we suspended the trial briefly during some of the major COVID outbreaks. We had already had enough patients to assess. And the first futility analysis that was completed by the Independent Data Monitoring Committee, which is the name suggests as an independent body. The committee reviewed the study data, then unanimously recommended that the trial should continue as planned. Now this doesn't mean necessarily that the trial will be successful, but clearly the Independent Committee thought that it was more than worthwhile to continue the trial based on the data they saw. To add further context, there are currently just under 10,000 patients enrolled to date. We're slightly ahead of the projected recruitment rates since the restart falling in the COVID related trial pause. And today just over half the sites have reopened with all sites scheduled to reopen over the next six months. Furthermore, all countries have been approved for trial restart. In transplant, we recently exercised our rights to acquire Vitaeris which we've been partnering with since 2017 to expedite the development of Clazakizumab, an anti-interleukin 6 monoclonal antibody for the treatment of chronic antibiotic mediated rejection or AMR and kidney transplant recipients. Clazakizumab joins our portfolio of other products in late stage development to address a significant unmet needs in the transplant area. In influenza vaccines, we'll be ramping up activity on the adjuvanted QIV cell-based program in 2021, with Phase 2 studies to commence at the end of '21. We have now completed the preparatory work, which included the manufacturer of our first full scale GMP batch of adjuvanted, QIV cell-based vaccine at Holly Springs. As you can see from the slide, I've only touched on a few of the highlights, but we'll be providing more detail of other programs at our forthcoming R&D briefing in October. On Slide 15. I know that many of you have asked about our response to COVID and specifically now on our activity directed towards COVID, very deliberately, we have focused our energies on matching our science with our technical capabilities and facilities around the world. We're currently working on a number of programs across R&D platforms to prevent and treat COVID. We've entered into a partnership with University of Queensland and CEPI, the Coalition for Epidemic Preparedness innovations to accelerate manufacturer and distributor vaccine should it be approved. We are one of the founding members of COVID-19 plasma lines to develop a potential plasma-derived hyper immune therapy for the treatment of serious complications from COVID in the U.S. and Europe. We expect patients in the Phase 3 trial to begin this month. we are working on a similar plasma product for the Australian market to treat people with serious complications of COVID to be known as COVID immune globulin that is under development at broad matters and we had 500 wonderful donors through the - our partnership with the Australian Red Cross and we've already produce the first batch of that medicine. We've also formed a partnership with SAB Biotherapeutics to advance and deliver a novel immunotherapy targeting COVID and our program with Garadacimab and patients suffering from respiratory distress with COVID is the other program and we've already enrolled 19 patients in that trial. So onto Slide 16 and COVID-19 summary, I guess there is a few things to say. We are always concerned with our people and safeguarding the health of our people, continues to be our top priority. We need to keep our 27,000 staff working in more than 40 countries that we operate in and wherever possible as employees who have been able their perform their work remotely have been doing so. In terms of innovation, many trials were paused and we needed to prioritize patient safety during the pandemic, also to make sure that we retained the integrity of those clinical trials. However, given the multiyear nature of the trials, we expect an opportunity to make up for lost time that's a COVID pandemic receipts. When it comes to COVID-19, whether it's preventative with the vaccine or preventing progression with a hyper immune, we're using a monoclonal antibody like Garadacimab We have taken on projects we think makes sense both scientifically and that fit our capability. Demand remained strong, right across our portfolio, especially for IG and influenza. And despite the COVID challenges, there has been no interruption in our supply chain, our group within supply and logistics, have done a terrific job in getting the product where it needs to go and prioritizing our lifesaving life extending therapies in the shipments and getting passage across countries and state lines. In terms of supply, as I I've mentioned, plasma collections have been adversely impacted. However, the business is doing everything it possibly can to ensure patient access to these important medicines. And our financial position on the balance sheet, our liquidity levels leverage ratios credit ratings remain strong . Our prudent balance sheet management affords us flexibility irrespective the state of the global economy and earlier this year we bolstered our capital position with a USD750 million private placement price I'm going to now hand over to David to go through the financials. David?
David Lamont: Thanks Paul, and good morning everyone. As Paul said at the outset, CSL has delivered another strong result for financial year 2020. On Slide 18, you will see that our reported net profit after tax, has increased from $1.919 billion to USD2.103 billion, an increase of some 10%. On a constant currency basis, the net profit after tax was some $2.427 billion, an increase of 17% after adjusting for a currency headwind of some $144 million. The FX headwind is attributable to the U.S. dollar strengthening against multiple currencies. There were also some one-off effects - items affecting the results, which I've detailed in the panel on the right-hand side of the slide. As Paul has already mentioned, our transition to our new business model in China is completed. We also had a one-off in other income related to a legal settlement in our favor and we also adopted AASB 16, the new leasing standard. So looking at the financials in more detail on Slide 19, total revenue was up 9% on a constant currency basis to $9.295 billion. Gross profit of $5.338 billion at constant currency was up 12%, reflecting a 140 basis point improvement in gross margin. Earnings before interest and tax was up 15% on a constant currency basis with an associated 170 basis point improvement on prior year in the EBIT margin. This obviously flows down to net profit after tax, which was up some 17% at constant currency. Cash flow from operations was a very healthy $2.488 billion, an improvement of some 51%, driven partly by the change in our distribution model in China and also reflects an improvement in cash management across the business. Return on invested capital was 21.6% and our earnings per share was also up some 17% on a constant currency basis. The final dividend declared is $1.07 per share, bringing the total for the year to $2.02 per share, an increase of some 9%. For Australian shareholders, this translates to approximately AUD2.95 , which is up some 11%. Turning to the segment results on Slide 20, for CSL Behring, total revenue was up 9%; gross profit up 11%, and earnings before interest and tax up 11%, all constant currency. This growth reflects the strong demand for our medicines. Reported EBIT margin suggests a compression. However, on a constant currency basis, it actually expanded some 80 basis points. For Seqirus, total revenue was up 11% with earnings before interest and tax, as Paul has mentioned earlier, up an impressive 74%, reflecting the success of the ongoing product differentiation strategy. These drivers are reflected in the gross profit with an increase of 17% in constant currency, and more importantly, a margin uptick of some 270 basis points. As Paul mentioned earlier ,the business has exceeded the long range financial targets that were set when Seqirus was first formed and loss making. This really is a great turnaround story. Slide 21 shows a table of the group's expenses with the changes for the period shown on a constant currency basis. Walking through each line item, firstly, research and development, an increase of just over $100 million or 12%. It is important to note, we are investing for the future. FY '20 costs were predominantly driven by the Phase 3 trial for CSL112, the gene therapy programs related to CSL200, and then of course our R&D efforts in responding to COVID-19 pandemic. Sales and marketing expenses were up a modest 5% while general and admin costs increased some 8%. Finance costs were down $28 million, arising from year-on-year variations in the Swiss debt costs, which were partly offset by the adoption of AASB 16, the leasing standard. Finally, the group effective tax rate was relatively steady at 18.3%. It is expected, however, that the rate will increase to around 20% to 22% in FY '21 as the investment incentive that we had in Bern in Switzerland comes to an end. Moving on to Slide 22, here we have a chart of our inventory over the past five years and the various components that make up our total inventory. What you see in the chart represents around about nine months of product supply in the pipeline, which is split fairly evenly between raw materials, work in progress, and finished goods. The major point to highlight here is our inventory levels have increased, as we have continued to produce for the increasing demand for our products. However, as a percentage of revenue exhibited by the red line across the bars, you can see that our inventory to sales level has remained stable despite the growth in inventory overall. This is a measure of efficiency and the balance sheet optimization. Turning to the next slide and capital expenditure on Slide 23. As you can see, we have continued to increase our capital spend as we build new manufacturing capacity at all of our facilities to support product launches and meet future demand in growth. To date, CapEx has been skewed towards growth projects with total spend rolling in line with sales growth as shown by the red line. Looking forward, for our FY '21, we expect total capital expenditure to be around $1.6 billion. If you turn to Slide 24, you will see some of the key capital projects that we have in front of us. As we evolve and grow as a global leader, we will be ongoing requirement to continue to invest in our ERP systems and processes to support our people and patients. This will, however, deliver process improvements on multiple levels in the years to come, the expansion of our base fractionation capabilities in Broadmeadows, Marburg and Kankakee where we have harmonized design and processes across each site. We also continue to invest heavily in expanding our finishing capacity. There are additional hygiene modules underway at Bern. At Lengnau, construction is expected to be fully completed in financial year '21. As you also know, we entered into a long-term partnership with Thermo Fisher, which will optimize the utilization of the site, continuing investment in our new plasma collection centers as we also ready ourselves the return to a more normalized world post COVID. We also continue to invest in facilities to support CSL112 production in anticipation of a successful trial outcome. And for Seqirus, as noted earlier, the more immediate capital programs include the fill and finish projects at both Holly Springs and the Liverpool sites. I'll finish here and hand back to Paul who will take you through the company's profit outlook for FY '21. Over to you, Paul.
Paul Perreault: Yes. Thank you, David. So turning to Slide 25, I'll make a few comments on our outlook for '21 before we take the questions. We do expect strong demand for our plasma and recombinant therapies to continue. Seqirus is expected to continue to benefit from the differentiated product portfolio and strong demand for influenza vaccines, driven in part by governments wanting to protect their populations from contracting both the influenza virus and/or the COVID virus. Sales of albumin are expected to normalize following the successful transition to the new business model in China. And in relation to plasma, COVID restrictions are expected to restrain our ability to collect plasma and add to the overall cost of collections. However, we do have multiple initiatives underway to mitigate that impact. Our R&D response to COVID as well as our new R&D initiatives will put upward pressure on R&D expense, but should still be within the 10% to 11% of revenue envelope as we previously guided you to. In terms of guidance for '21, we expect revenue growth in the range of 6% to 10% over fiscal '20. Net profit after tax is expected to be approximately $2.1 billion to $2.265 billion at constant currency, which implies a growth of up to 8%. Of course, our forward-looking statements are subject to the usual disclaimers, as mentioned at the start of the presentation. And with that, we would be happy to take your questions. Mark, back to you.
A - Mark Dehring: Thank you, Paul. Ladies and gentlemen, we'll take questions now. And operator, if I could ask you to open the lines up, we have Chris Cooper online from Goldman Sachs. Chris, if you go ahead with your question, please.
Chris Cooper: Thank you for taking my question. I'll keep to two, Mark, to stand at the right side of you. So just on plasma collections, I'll stick to plasma patient collection. So volumes were down 5% in fiscal '20 so on my numbers that implies around 40% down in the fourth quarter. I think that's around the level. Most of us is expected to see. But I guess firstly, is that right. And secondly, can you just give us some sense of how that's trended since the start of July. Please
Paul Perreault: Look, I think you're a bit high on that estimate. So I would say you're probably closer to the high '20s to 30% versus 40% in the last quarter. What we've seen since the June time period is collections in July were more trending upward. They're continuing to trend upward. In August, although not as much as people expected due to the fact that there has been more outbreaks of COVID with hotspots in the U.S. So we are seeing a return. We are seeing improvements in plasma collection. But clearly, we're going to have to watch that extremely carefully.
Chris Cooper: And same topic, but different questions. So just around the mitigation to the industry has you've talked to utilization of inventory. We've seen the FDA has already intervened once clearly no one has a crystal ball here, but there is certainly a scenario that collections continue to remain depressed for some time yet how many months, would that need to persist for before continuity of end product supply becomes genuine concern in the second half and beyond.
Paul Perreault: Well, I think where you will start to see it is in the second half. If it continues in that vein and we've obviously modeled, a lot of different scenarios. The one thing I would say is, yes, it is an IG issue because that was the demand driver for why we collect more plasma. It's key to note that all of our other plasma-derived therapies in our recombinants and influenza vaccine are not impacted on the supply side by this. So we still have strong demand in all of our therapeutic areas and we need to manage the IG. You know that we had built some inventory over the past couple of years and we were able to step in a couple of years ago when other competitors had might have stumbled a bit, and we still have some inventory to work with. But the main thing is to make sure that CSL patients are taken care of and we take care of as many patients as possible. So even though we have some additional inventory ,we're going to have to manage that very carefully, because if you put it all out in two months, you're going to be running on fumes a bit. So we've talked about that before. So it will be responsible about how we do that as a company for the customers and patients that we serve.
Mark Dehring: Thanks, Chris. Next question comes from Lyanne Harrison at Bank of America.
Lyanne Harrison: Just to follow on the vein of Christian, his questions on collection centers. Just 2020 stand you noticed that CSL has made some changes in donor fees of late, is those changes making a meaningful impact. And my follow-up question on that is, when you talk about cost pressures, whether it be donor fees and other things that you're implementing within the center, what sort of guidance can you give us in relation to gross margins for financial year '21 taking those into account.
David Lamont: Thanks Lyanne. Look, I think if you look at the gross margin, particularly I think you'll see that there are other areas where we've got some upward pressure on margin. I would expect that the gross margins would be stable to maybe slightly down, but we have other areas. If you look at the total amount of specialty products, you look at the balance of albumin and IG, you look at the manufacturing side, that's fair. But clearly, we have seen about a 9% increase in cost within the plasma collection area overall. And that's with all of the safety measures we've had to take the supplies, the masks, the thermometers the areas that we're looking at, but we're also looking at ways to mitigate that through the centers and through the rest of the business. We're responsible company and we understand that we have to take responsible actions in terms of managing all the expenses across the business. It's all part of CSL. It's not that we rely on one area of the business for managing those cost and margins. So I think a good guide would be to say that you'll see some stable margins this year, because there are strains on the supply chain and there are strains within the supply. That's why I would take a look at it.
Lyanne Harrison: So just to clarify that stable margins for the bearing business or the CSL business as the only offset by secure.
David Lamont: I would say for the total business. And again it's, we have a range in terms of our guidance to in terms of revenue and profit and that's because there are still some unknowns, but we felt confident and making sure that the market actually had guidance because we feel confident in our ability to manage it.
Lyanne Harrison: And if you could come back to that first part of my question whether the donor fee changes is making a meaningful impact on collection volume today?
David Lamont: Meaningful is a relative term, I would say that we're staying competitive with our competitors and it is helping. But it's not the key driver. A lot of the driver right now Lyanne is really the local and states requirements of people that can or can't get to the centers because of the social distancing that's going on in the center. So the donor fees assist but I wouldn't say it's the key driver. There are many other things we're doing in terms of social media, marketing that we've implemented this year as new environment for our donors to get access to the CSL plasma centers.
Mark Dehring: Thanks, Lyanne. And the next question comes from David Low at JPMorgan. Go ahead David,
David Low: Paul, we've touched on plasma and obviously is a fair bit of uncertainty, but do you foresee at this stage that we are moving into an environment where demand is likely to exceed supply across the whole industry.
Paul Perreault: David, as you look at where plasma collections are and I would say that we've done, as well as could be expected in the industry given our efficiencies and the scale that we have, I would think that there is going to be pressure on the supply side for sure. Demand is still there. Demand is still strong for IG. So depending on the recovery rates with the plasma collections, we'll have to see exactly what that means across the industry. I don't have visibility overall the competitors, so we really need to check with them, but I'm sure you have in terms of what they think they're doing. So, but yes, I mean, you look at that and you say, okay it's clear that we've had strong demand for IG that hasn't stopped just because of COVID right. Patients are still in need. And IG is a, is a very unique and helpful therapy to treat these patients. So yes, the demand there.
David Low: So in the past when there has been shortages, we've seen rationing and rationing has tended to have a sort of has - a protracted impact on demand as clinicians get used to a new set of rule, so and do you see much risk of that occurring in the current environment.
Paul Perreault: Look, I don't think so, David. And actually I don't think that's a completely accurate statement. It is when the ability or the desire of physicians to prescribe. The underlying demand of patients is still there. Demand hasn't gone away. The treatment has been curtailed because physicians are worried about the supply, but the demand is there. And it's not - demand is not directed by prescribing physicians, demand is really what the patients need and these therapies are in high demand, because of the Polychrono nature of this antibody that is so useful in the immune system.
Mark Dehring: Thank you, David. Our next question comes from Sean Laaman at Morgan Stanley.
Sean Laaman: Paul, would you hesitate to give us a sense of guidance of what you expect on plasma collections in terms of what's being built into the fiscal '21 outlook would be my first question.
Paul Perreault: Well, Sean I think you can probably see that on the NPAT side where we're at, if you look at the high end of the range, it's not in the double-digit range. So there is going to be pressure and it's IG related as you can imagine. It's not specialty products, it's not recombinants, it's not influenza and we're working on host of COVID initiatives as well. So from a plasma perspective and the guidance there, we're running scenarios every day and every day, we're wrong all right. So we're either above or below every day when we run these scenarios because it's a moving number. We have baselines. We have downside cases and we have upside cases as you might imagine. We know this business extremely well, and we're doing everything we can to make sure that we're driving plasma collections. We're also working with the U.S. government on [coagulation] plasma, which gives us more opportunity to talk to donors about donating plasma to other reasons and that is for rare diseases. So there is some new donors coming into the system that we're also looking to initiate into the CSL plasma family. So it is a moving target. I wish I could be more specific for you, Sean. But I would take a look at our guidance and note that there is a range and a lot of that is in the supply chain in terms of the uncertainty as we look at additional potentially incentives in the - from government in terms of payments for unemployment et cetera. We still don't know what that's going to look like. Certainly, we think that had an impact in the last quarter of the year as well as the government's put out the payments for folks that were unemployed. But the unemployment rate remains high. So we do believe as COVID starts to pass and things develop that we'll see a return to plasma donors coming into the center. I would caution that I have seen some reports and I do read all your reports, not just your Sean but all of them. And it's not going to be the flip of the switch. So I would just caution people to think about the fact that this does take effort and time to get people to return back into plasma donation. So even though you might have a high unemployment rate, it doesn't mean that there will be an immediate return of these plasma donors to donations. We know that's from practical experience, for instance if you had to shut of center for two or three weeks, you start to lose some of that donor base and then you have to rebuild that donor base with new donors and getting those lapsed donors back in. And there will be no different under this scenario, but I think we're well placed to address that.
Sean Laaman: Thank you, Paul. And one follow-up if I may. Just with respect to I guess of one of a better term, the donor argument catch up in fiscal '21. Any sense on how that benefits growth in that outlook here?
Paul Perreault: Okay. I think David why don’t you handle that. I think if you look at 340-ish, yes just forward, go ahead Dave.
David Lamont: Yes Sean, we guided range of 340 to 370 as we thought was going to be the revenue impact, it came in at the lower end of that, so, roundabout 340. We've previously given you some indications that the pricing for Albumin into China, as you know, is a little bit higher than it is in other parts of the world. But you should be thinking through let's take our overall bearing GP type margin through as part of that. There is a little bit of costs associated with delivering the product through the sales side of things, et cetera. So the net impact down then down a bit, you should be able to apply add sort of 20% on tax rate to that. So if you work that through, you should be able to get pretty close sort of what the overall impact was great.
Mark Dehring: Thanks Sean. Our next question comes from Andrew Goodsall at MST Marquee.
Andrew Goodsall: Thanks very much for taking my question. Perhaps I could, just a follow-up just on that Albumin in China and just understand it, when you do I guess transition and we see that number come through, we sort of talking about a couple of years with the growth that - and any sort of current year growth that on top of what you might have I guess forecast when initially looked at year-on-year effect?
David Lamont: Doing this virtually, I wasn't sure whether Paul would jump into. So let me say the 340, 370 did factoring growth from the prior year.
Andrew Goodsall: Got it.
David Lamont: As part of that is, that helps. So we, as Paul has mentioned, the underlying demand in China is still very Robert so we're not seeing any difference in the usage patterns within on-demand for the product within China. So let's take a 340-ish. This year, you would expect to still see some growth year on year.
Andrew Goodsall: So a little bit of growth on that number. And then just working forward Paul, I know there's been a lot of press around Australia signing a letter of intent, perhaps, around the Oxford-AstraZeneca Vaccine. I know it's - that you guys are already locked in and loaded all happening, but I guess I'm just going to get your views on where that, and is there the prospect of a cost plus type arrangement that would allow you to benefit somewhat from this?
David Lamont: Look Andrew, it's a bit early to be talking about cost in revenue from a product that hasn't gotten into the, through the Phase 3 clinical trial yet. So I think that's a little bit premature, but I can tell you that we're committed to the U.K. vaccine. We certainly are in discussions with AZ and with the Australian government around what is our ability to do more with the adeno virus vaccine. It could range from getting both material and doing till finish to actually manufacturing if that could be an opportunity and technically possible, but there's still a lot to evaluate in that. So we will update you as we come along, but certainly where we're looking at all opportunities to try to help if we can realize that 2Q. We've been working on really since the end of January and it is a priority for us to continue, but clearly where we are in discussions to see what we can do to assist adeno virus vaccine.
Mark Dehring: Thank you, Andrew. Next question comes from Steve Wheen at Evans & Partners.
Steve Wheen: I just wanted to go back to the commentary around the guidance so you've indicated that revenue at the top end could grow 10 within prioritize and there's obviously margin implications there, but I do notice that your effective tax rate steps up from 18.3 to 22? So if you take it above the tax line, it would suggest you're actually enhancing margins. Is there at profit before tax line is there? Other drivers here that I need to take into consideration. to understand that move other than the increase in costs around plasma collection?
Paul Perreault: Look, I think that the increase in costs there. We are looking at the COVID investment which could be anywhere between, call it 125 million to 175 million. Depending on the programs because you see we have 5 different areas that we're investing in for COVID. This was in addition to our other R&D projects. We’re still attempting to keep that all within that 10% to 11% of sales. But we're going to need to do what we need to do to make sure that we're successful not slowing down advancements for delivery of either treatments or vaccination in the COVID space. So that's an area that we need to think about in terms of where we're investing, I mentioned, probably on the cost side in terms of plasma collection with an uplift there. But you're right, the tax rate is up, and that's another 2%. But overall, I'd say that we're continuing to manage through I think Seqirus clearly looking good this year that the additional help that we'll get from Seqirus should also be flowing through.
Steve Wheen: That there is, there is an implied margin improvement. Therefore in FY 2021 guidance?
Paul Perreault: Well, look, as I said, I would say flattish is a good start, because there is still a lot of unknowns we've been upfront with guidance but there is a range because there are still some unknowns the supply chain is still uncertain. Overall for the long-term through the course of the year, as I say we're doing everything to mitigate that. So that we can continue to drive additional IG production and if you look at the amount of plasma and you say where we're we. You also know that if we continue to grow our product portfolio, which is perceive to be the case. We're going to be gaining margin on that as well. The IDELVION is still to be launched in multiple countries. We've got, we're waiting on reimbursement approval and about 12 additional countries now for launch of the IDELVION. So look, there are things that have upward pressure, as I mentioned before, but there is still a lot of unknown cost and it really hinges a lot on plasma collection.
Steve Wheen: Right. And my second question was just around MF59 and it's obviously integral to the University of Queensland vaccine attempts, but has there been interest elsewhere in the world. From other candidates to your adjuvant?
Paul Perreault: Yes, Steve, absolutely we've got 10 material transfer agreements with companies around the globe that are developing vaccines and looking at MF59 as magical. Those are mostly smaller biotech companies that have some novel vaccine candidates whether there will be successful or not I don't know. But we have been supplying additional amounts for their research and into their vaccine development, as well.
Steve Wheen: Right, thanks Paul.
Mark Dehring: Thank you, Steve. Our next question comes from Dave Stanton at Jefferies.
David Stanton: Yes, good morning team and thanks very much for taking my questions. If I could switch gears a little bit and talk to secure us in line with the last question. Look what are the margin implications positive or otherwise from the rollout of FLUAD in North America also in U.S. in particular in this upcoming flu season?
Paul Perreault: Look, Dave thanks for the question. I think the implications are. I mean FLUAD as we have been able to generate more revenue from FLUAD and it is gaining real world effectiveness data as well as through FLUCELVAX in terms of the elderly population. And the pricing side of that has been strong, because it is quadrivalent so there is a bit of uplift there in terms of the margin.
David Stanton: Thank you.
David Lamont: There is volume and margin on FLUAD quad.
David Stanton: So sorry, volume and margin should - volume should lead to increase margin for the overall business, especially what you're saying there?
David Lamont: Yes.
David Stanton: Okay and then, and then moving on my second question I interested that you say supply constraints will only face your IG product, given that some historically I've always assume that you sell close to as much Albumin out of a given liter of plasma as you do IG. Can you, comment around that going forward? Thank you.
Paul Perreault: So look, thanks. Yes we have been producing a heck of a lot of plasma and the balance between IV/IG and Albumin has been pretty well online. But we've also been holding fraction five paste in anticipation of the approvals in China for AlbuRx for instance from Kankakee. So we have different types of fraction five paste that will be able to utilize in the supply chain as we move forward. So when we talk about balance we've been thinking long-term and I think we're in good shape there. For this year on Albumin to continue to drive some growth on the Albumin side, even if there is some supply constraints on the raw material. Now could be different next year in terms of the Albumin, but we're looking to keep up.
David Stanton: Sorry, so just a follow-up on that, just so I understand you're basically saying that you've got plenty of I guess work in progress Albumin but less on the IG side. Is that the way I should think about it simplistically?
Paul Perreault: Yes, that's correct because we didn't have the AlbuRx approved out of Kankakee, but we were producing paste in anticipation. So we weren't actually finishing the product last year. So we did build some paste inventory that we can now utilize as the approvals come through.
David Stanton: Understood thank you.
Mark Dehring: Thank you. Next question comes from Rachel [indiscernible] at Credit Suisse.
Unidentified Analyst: Thanks, good morning. Just firstly on IV pricing so what price did you say in FY 2020 and do you expect above average price in growth in FY 2021 just given the increased tighten market?
Paul Perreault: Look, thanks Rachel. I think when you take a look at IG and the price mix. We had a good increase this past year in terms of pricing across the board. I'd say in the U.S. it was more CPI-type increases we talked about that before. Is there is a lot of contracts and in different areas. But when you look at the mix and volume between HIZENTRA and PRIVIGEN and you see the growth and HIZENTRA which is at a higher price than PRIVIGEN. You can see that we've done some shift mix there that the results and some pricing. So I think that everybody wants to jump to supply demand and pricing and I think we just have to be careful. Three executive orders and a fourth one supposedly to be signed with international price indexing on 24th of August, which I think we're all getting a bit executive order fatigue, because there is some of these that still have to have a long way to be implemented in my view. And I'm not sure how the API will happen, but you don't want to draw a lightening rod to that either and we're not going to take advantage. We've always been a responsible company in that regard. But look, I think as we look at the shift in the mix and we look at the continued growth there will be some, some slight upward pressure on pricing.
Unidentified Analyst: Okay, thanks. And then just in terms of plasma collection center openings. Now the target for FY 2021 is lower than the last couple of years now that result purely of COVID or is the strategy going forward just to open for a number of assays?
Paul Perreault: 20 to 30 centers is still a big lift. And I'd say with COVID and the fact that a number of the centers today are underutilized. We need to get those centers back up and running, because they're down in collections from COVID. And if I add more non-productive centers during this time period, because as you know it takes two to three years to really get them up and running. I think it's going to put a lot of more pressure on the team that's already under a lot of pressure to continue to collect plasma. 20 to 30 I think is probably close to 20 to 30 more than most other people will open. In my view, I think there will be others that are going to be opening additional centers and they are. But it's still a big ask and if we see things start to pick up will open more. We could open more if we go, but I think it's a balance of really the workload that people are under getting people back into the centers and the work that we're doing on the marketing and recruitment in our current centers that have capacity today. And at the same time, we're getting ready to institute some help with the U.S. government on complesson plasma in our centers for utilization. So plus the COVID-19 initiatives that we have with the industry. So a lot happening in plasma again CSL has been - really focused on focus, I guess that still a focus. And we want to make sure that we're not overloading all the centers to management and the staff to drive to 40 during this particular time.
Unidentified Analyst: Okay, thanks very much.
Mark Dehring: Next question comes from Saul Hadassin at UBS. Go ahead Saul.
Saul Hadassin: Hi, good afternoon guys. A couple of quick ones from me just Paul the Albumin growth in Europe and emerging markets up very strongly. You do mention some pricing pressure, but can you talk to the dynamic there. How did you grow Albumin at such a rate and is it effectively lowering price to drive demand or stimulate demand just some comment on the dynamics that would be great?
Paul Perreault: Yes, thanks Saul. Yes you can see on the pricing side. It, it would have been at lower prices. So if you take that growth and you take a look at it. There is a strong demand in other countries for Albumin and some tenders that we were able to access as well within the Europe and emerging markets particularly. So those are areas where I think the tightness in plasma collection that we saw earlier. Even though we were opening additional centers and driving a lot of plasma increases, there were still people that we're not keeping up. And so, there were some gaps in terms of utilization and supply in some of these countries. And knowing that we had the GSP transition in China, we were able to take advantage of some of those opportunities outside of China. Although at some lower pricing than what we've seen in obviously, China, which is still quite high priced.
Saul Hadassin: Thank you. And just a quick one for David, David just cognizant of the step-up again in CapEx guidance for FY 2021 and just implications that that will have for the ROIC in FY 2021. Beyond FY 2021 though and thinking about the CapEx spend of the Group. Do we reach a sort of threshold or that kind of benchmark at that 1.6 billion or do you think it continue to escalate at the rate that we've seen in the last couple of years?
David Lamont: Yes look - the view as you know, and we look forward is you’re going to be thinking three to four years out for a lot of these capital projects to actually come back into the market. So during that period yes we've got some let's call it unproductive capital sitting on the balance sheet as we continue to flush those out. I would say so the 1.6 billion is a digestible number. If you get much above that - the ability to actually execute against the projects becomes that much harder. So certainly that's the guidance that we’re given and quite a lot's going in as you know to the finish side of things across Seqirus which will start to come off. We then still need the finishing capacity obviously on the IG side of things and a lot of the heavy lifting on the base frac will get completed over the next two to three years as well. So they then start to actually pay their way and certainly, what we do see is over that sort of three to five year. You'd expect the ROIC to start to move more favorably than what you've seen in the shorter term, which is one backing ROIC given that the level of unproductive capital we're sitting on the balance sheet.
Saul Hadassin: Right, thank you.
Mark Dehring: Thank you, Saul. Next question comes from David Bailey at Macquarie. Go ahead David.
David Bailey: Yes thanks, Mark. Good morning, Paul and David, just in relation to specialty products. I'm just wondering if you make some commentary around expectation for how you guide on FY 2021 just noting the capacity expansion has come online. And then also just in relation to case just confirming your quarterly a commentary that you haven't seen any COVID related impacts as yet in relations to that product?
Paul Perreault: Yes, thanks David. Look I think HAEGARDA continues to drive them. And we've seen new starts. We've seen transitions from Bernard, as I said within Canada in 2021, we expect to see some the approval of HAEGARDA that we have there and delivery and reimbursement into the system. And we expect that patients will drive over there even with the new entities that are out there. HAEGARDA delivers. I mean it is an excellent product with great dosing and very, I would say minimal number of attacks and so people really patients have really taken it up and they continue to. So I would expect to see continued growth in that and we're still launching in other markets, and it's a great product. So I think that's going to be well placed as we see again transitions from Bernard but also growth in other markets as we launch. The KCENTRA I would say, just to clarify I'd say, April and May, we started to see some decline in hospital admissions and KCENTRA sales were down slightly, but they came right back in June and June was one of the higher months that we had in the fiscal year. So it just tells me that as patients continue to come into hospitals and if you remember and back in the April timeframe and New York City and the hospital is being overrun. And there was a lot of angst around that when you actually look at the hospitalizations, although the COVID rate has gone up in terms of positive cases, a lot of the hospitalizations have come down a bit. So we're seeing a return and we've seen good growth in June, July was a good month for KCENTRA as well. So, the expansion to the larger institutions they are getting out into some of the community hospitals. It's a great product and I continue to see some legs on KCENTRA. I know we've talked about it every year for like the past seven years and everybody is waiting for it to stop, but it just shows you when you have a product that is small volume easy to infuse and it stops bleeding I mean physicians need it and it's working extremely well. So I see understood and more positive on KCENTRA.
David Bailey: And then just maybe some referring to the fact that you acquired license, the license rights AMT-061, just wondering if you can sort of talk to what this might mean for IDELVION going forward if it is successful. And then, yes just more broad-label M&A be a feature of your business, where you see competitive risks going forward?
Paul Perreault: Well, look that's an interesting strategic question. And I'd say if there's value that we can add and it fits in our core capabilities, competencies and adjacencies I'll take a look. But we are not serial acquirers right. I mean that's not our model. We have strong underlying growth in our core products. We've been adding value to those products through the years we have become with IDELVION a market leader in hemophilia B. We've been in hemophilia for over 30 years and we think this is an advantageous acquisition for us in terms of the rights for this product for gene therapy. It's the leading gene therapy asset and Hem B and we believe that there will be a place for patients to decide if they want recombinant and continue on that vein depending on the severity of their areas and to have a gene therapy that can assist these patients in terms of Hem B. We thought that it was advantageous for us to be and maintain and drive leadership in Hem B treatment. So I talked about gene therapy in the past and it's an interesting area, because there are lot of areas in the world where recombinants are not even use prophylactically yet there is still is plasma-derived therapies or blood transfusions being used. And so, the adaptation may be faster in some developed markets. But it's going to take a while for gene therapy to really drive and patients are going to have to make sure that they're understanding it what the gene therapy is and the data will tell the story as well right. So, as we finish up the Phase 3 and move into a launch phase then we'll see what the data comes through, but I would say that we see it as both offensive and defensive. But I think it's a great position to be in, because we'll be able to supply this novel therapy for patients.
Mark Dehring: Thank you, David. Next question comes from John Deakin-Bell at Citigroup. Go ahead, John.
John Deakin-Bell: Thanks Mark. My question just around Seqirus the revenue was up about 100 million and the gross profit was up more than that. So your incremental gross margin was, more than 100%, which is up on prior year. Is there anything kind of unusual happening that would that would stop that from happening again next year. Obviously we're expecting higher revenues. Should we expect similar gross margin and also EBIT margin uplift?
Paul Perreault: David why don’t you answer that question.
David Lamont: Yes and so, certainly we still see upward pressure on the Seqirus gross profit margin as we continue, as Paul alluded to earlier. We see FLUAD quadrivalent side of FLUAD get presence in the U.S. and elsewhere. So there is still the product differentiation element putting that upward pressure on the margin side of things. John, I would just say to you though. We've seen a large portion of that benefit to-date. So I certainly wouldn't be sitting here saying that you should be taking the uplift that we saw from FY 2019 to FY 2020 impact of adding into FY 2021 it will come back a little bit from that growth.
John Deakin-Bell: Okay, thank you.
Paul Perreault: I also mentioned. John, I also mentioned that we had a number of APA's or advanced purchase agreements for pandemic that's additional revenue that's good margin obviously. And so, those don't repeat every year.
John Deakin-Bell: Understand thanks, Paul. And my second question was just back on the plasma collections to understand the dynamics you've opened a lot of centers over the last couple of years. And so, I'm assuming latest per center is it's got to be down a fair bit given what's happened in the last quarter. Aside from the variable cost of consumables in the donor fees are there other cost that you can give temporarily take out or is it really quite fixed beyond that?
Paul Perreault: No, it's really fix beyond that it's really hours per donation because you have to staff the center John as if it's going to be full because if you don't have the people on the floor, then you can get the donor. So the cost of labor is although variable. It's almost fixed at the moment because we're staffing to make sure that we can handle donors should they be becoming through. But we did have some fixed costs as well because we did supplement the hourly wages for our workers across the plasma organization. That was a temporary fix. But we have to look at that, again, because we're continuing to have our frontline workers exposed in this COVID areas. So we'll continue to evaluate all of the cost in the center, the fixed cost of all the suppliers. We've had to drive up our cost right now in terms of suppliers of masks and they shields and those sorts of things. And we want to make sure we had enough supply, so that we don't have to constantly replenish. So some of those costs will come back a little bit, but we're going to have to replenish later in the year, so it will be kind of hit and miss at that level.
Mark Dehring: And. Thanks, John. And ladies and gents will need to draw to a close soon, but we do have time for one more caller, and that is Sean Laaman and go ahead, Sean.
Sean Laaman: Yes thank you, Mark. Sorry, Paul, one quick follow-up, just trying to get my rather simple plasma collection model to work in just given your commentary that plasma collections are down 5% for the year and probably down 30% for the June quarter, it kind of implies, sort of mid-single digit growth in the first half very close the year which intuitively, it doesn't seem right. So to try and get it to feel a bit more was there kind of a depression in March or in the March quarter on collections?
Paul Perreault: Yes so everybody asked me about the last quarter, which is three months right but COVID was around in March and it was, and February is typically a light month anyway because it's a short month. So you get you only have some heydays to collect in February and that's when a lot of the tax refunds come in as well. So we always see this dip in Feb. And then in March, we started to see some impact to COVID. I can't quantify it specifically and that because we really started tracking the centers because we weren't sure what COVID how long it's going to be what it was going to impact. But certainly we put a lot of pressure on trying to track that through the end of March and into the last quarter. So, yes, you're right, you can account for the fact that we were probably down slightly in March as well.
Sean Laaman: Okay, thank you Paul, that's excellent.
Mark Dehring: Good thanks. Thanks Sean. Ladies and gents we will need to now draw this briefing to a close. Thank you very much for your interest in CSL. And with that, I'll close and good morning.